Operator: Thank you, and welcome everyone to the FormFactor's Third Quarter 2016 Earnings Conference Call. On today's call are Chief Executive Officer, Mike Slessor; and Chief Financial Officer, Mike Ludwig. Before we begin, Jason Cohen, the company's General Counsel will remind you of some important information.
Jason Cohen: Thank you. Today the company will be discussing GAAP P&L results and some important non-GAAP results intended to supplement your understanding of the company's financials. Reconciliations of GAAP to non-GAAP measures and other financial information are available in the press release issued today and on the Investor Relations' section of our Web site. Today's discussion contains forward-looking statements within the meaning of the Federal Securities Laws. Examples of such forward-looking statements include those with respect to the anticipated effects and benefits of the completed merger between FormFactor and Cascade Microtech, projections of financial and business performance, future macroeconomic conditions, business momentum, business seasonality, the anticipated demand for our products, our future ability to produce and sell products, and the development of future products and technologies, and the assumptions upon which such statements are based. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed during this call. Information on risk factors and uncertainties is contained in our most recent filing on Form 10-K with the SEC for the fiscal year ended 2015, and our other SEC filings, which are available on the SEC's Web site at www.sec.gov and in our press release issued today. Forward-looking statements are made as of today October 27, 2016, and we assume no obligation to update them. With that, we will now turn the call over to FormFactor's CEO, Mike Slessor.
Mike Slessor: Thank you, Jason, and thank you everyone for joining us today. FormFactor delivered strong results in our initial quarter following the Cascade Microtech acquisition. Revenue of $123 million was the second highest in company history nearly reaching the all time highest attained in the third quarter of 2007. Non-GAAP gross margin of 43% and earnings per share of $0.22 were at their highest levels since the fourth quarter of 2007. These results are the product of continued strength in FormFactor core probe card business, combined with the growing probe card and engineering systems businesses from Cascade Microtech. As we have said previously, the FormFactor-Cascade Microtech combination provides us with scale and diversification, which accelerates our earnings growth. The results of our first quarter operating as a combined company support this thesis. Beginning with the third quarter, we will report our result into segments: the probe card segment and the system segment. Within the probe card segment, we will continue to provide a revenue breakdown for foundry and logic, DRAM and flash markets. In both segments and their constituent markets, we will provide commentary on the dynamics and opportunities driving our business. Foundry and logic, probe card is our largest business at over 60% of third quarter revenue and as a market we lead with approximately 40% market share. In the third quarter, we experienced solid demand in all of our major served foundry and logic application, namely microprocessors, RF, mobile, industrial and automotive. In the third quarter, we continued to operate at historically high output levels for our key microprocessor customer as we completed recovery from the production shortfall of the first quarter. In the fourth quarter, we have now normalized capacity at the $100 million annual output level, which is approximately double the 2015 demand from this customer so lower than the peak production level of the past six months. As we have discussed previously, we expect to continue to operate at the structurally double production level in 2017 producing probe cards for both 14 nanometer and 10 nanometer devices. In the mobile RF space, the Cascade Microtech probe card business delivered another strong quarter supporting bar and soft filter component ramps for major midyear handset releases. Driven by these release cycles, this business typically experiences weaker demand in the fourth and first quarters. With the fundamental multiyear trend of more bands and therefore more filters per hands, we are now working with customers to expand capacity and reduce their cost by employing multi dye parallel test. In markets such as DRAM and mobile application processors, migration to multi dye test is a theme that has historically driven both probe card market growth and FormFactor share names. A particular highlight in the third quarter was record demand from a foundry and logic customer serving automotive application and is an interesting example of the opportunities resulting from FormFactor’s leadership position. This demand stems from a combination of two well-known brands. Rapidly increasing silicon content in each car paired with the automotive industry stringent testing quality requirements To successfully meet these trends, a probe card supplier must have leading technology delivered with consistent manufacturing and quality processes supported with a global service infrastructure, a combination of attributes provided by FormFactor. The growth in end-market diversification provided by these automotive applications is helpful in managing our overall business as we continue to expect short term demand fluctuations in each of our markets and applications. In DRAM probe cards, third quarter revenues were down slightly from the second quarter impacted by the specific timing of 20 nanometer design transitions at two major DRAM manufactures. With the improvement in overall DRAM pricing and the corresponding improvement in our customer’s profitability, we are beginning to see indications of increased investment, which shrinks to the 1x nanometer node and new design releases in 2017. In flash, we demonstrated significant quarter-over-quarter growth, as several 3D NAND design wins began to ramp in volume on both our new vector product and the cost reduced version of our legacy touch matrix architecture. Given our relatively small flash market footprint, we expect continued lumpiness in quarterly flash revenue. We are, however, encouraged by our initial progress in serving high density 3D NAND application with FormFactor’s differentiated MEMS probe technologies and products. Our system segment delivered strong results driven primarily by demand for high-end 300 millimeters systems. These tools are being adopted as the leading customers in the industry continue to invest in yield improvement across all device types. The new material interfaces and yield walk mechanisms of 10 nanometers FinFETs, 20 nanometer DRAM shrinks and the complex 3D non-volatile memory architectures are demanding tremendous volumes of electric characterization data in shorter times and our systems are helping customers meet those challenges. A good example of this is our recently introduced Estrada electromigration tool, which enabled customers to perform fully automated reliability measurements on the wafer prior to device packaging. This improves time to results, increases data volumes and provides a higher quality measurement compared to competing methods and tools. In our first quarter operating as a combined FormFactor-Cascade team, we place a great deal of emphasis on maintaining continuity and minimizing disruption. As we have previously described, this approach was designed to ensure each of our business executed to existing plans and commitments and we are pleased to have successfully achieved this in our first quarter together. We also achieved annualized cost energies of $5 million in the quarter by executing quickly on low risk G&D redundancies and integrating the sales and service teams. We also began the initial stages of accessing longer term technology, product and operational synergies. We're now in the midst of companywide planning for 2017 and beyond. Although our near term emphasis remains on execution and continuity, we’re increasingly excited about the growth prospects for the combined businesses as we leverage the technology and channel assets across our expanded opportunity set. We believe that FormFactor’s test and measurement solutions are well positioned to capitalize on the overall market and will enable us to grow faster than the market. These trends included additional quality demanding applications of silicon such as the automotive example I described your, more pervasive and demanding deployments of high frequency RF sensing and communications such as millimeter wave radar and 5G communication and challenging device rims with new architectures and materials sets such as 3D NAND. I will now turn the call over to our CFO Mike Ludwig for further details.
Mike Ludwig: Thank you, Mike, and good afternoon. As you saw from our press release and heard from Mike Slessor, our third quarter results inaugural quarter for the combined companies were strong with solid non-GAAP profitability and robust free cash flow consistent with our expectations and putting these two companies together. As Mike commented earlier, FormFactor will report our results in two segments, the probe card segment and the system segment. In this initial quarter, we will specifically call out the revenue contribution in the form of Cascade Microtech probe card business within the probe card segment. Total FormFactor non-GAAP revenues for Q3 2016 of $123.6 million increased $40.5 million or 49% compared to our second quarter. Probe card segment revenues of $102.7 million increased $19.6 million or 24% primarily from the $18.4 million from Cascade Microtech revenues in the quarter. System segment revenues for the third quarter were $20.9 million, all contributed by the Cascade Microtech business. Within the probe card segment, the foundry and logic revenues of $75.1 million increased $17.2 million or 30% compared to our second quarter due entirely to the addition of the Cascade probe card revenues. Microprocessor and RF filter applications were the strongest revenue contributors in the quarter, but experienced expected declines from exceptionally strong second quarter. Mobile processor and automotive applications were also strong contributors in the third quarter. DRAM product revenues were $22.3 million, a decrease of 8% compared to the second quarter. The DRAM environment remains choppy as the largest DRAM device manufacturers worked with their respective technology node transitions. DRAM revenues comprised less than 20% of total company revenues in the quarter. Flash revenues of $5.3 million for the third quarter increased $4.3 million from the second quarter driven by several 3D NAND design wins on both Vector and makers architectures. System segment non-GAAP revenues were $20.9 million in the third quarter as we experienced solid increases in both 200 millimeter and 300 millimeter system purchases. Third quarter GAAP gross margin was $27.2 million or 22.1% of revenues compared to $25.4 million or 30.6% of revenues for the second quarter. GAAP cost of goods sold expenses in the third quarter included $0.7 million for stock-based compensation and $24.9 million of amortization of intangible assets including $7 million for inventory step up. $22.8 million of the amortization of intangible assets results from the Cascade acquisition. On a non-GAAP basis, gross margin for the third quarter was $53 million or 42.9% of revenues compared to $27.9 million or 33.6% of revenues for the second quarter. In the probe card segment, Q3 non-GAAP gross margin was $41.7 million or 40.6% of revenues compared to $27.9 million or 33.6% of revenues in Q2. The increase in the third quarter gross margin was due primarily to a favorable product mix with the addition of the higher margin Cascade RF production and engineering probes, and increased revenue from mobile processor and automotive probe cards. The Q3 gross margin also benefited from increased efficiencies and reduced cost related to our foundry and logic product ramp. In the system segment, Q3 non-GAAP gross margin was $11.3 million or 54.1%. This is a record gross margin for the system segment and was driven by a favorable mix of 300 millimeter systems and good fixed cost absorption from higher production levels. Our GAAP operating expenses were $40.3 million for the third quarter, an increase of $80.2 million compared to Q2. The increase is due primarily to the addition of Cascade operating expenses. GAAP operating expenses included $2.5 million for stock-based compensation, $2.1 million for amortization of intangibles and $1 million for acquisition expenses. Non-GAAP operating expenses for the third quarter were $34.7 million, an increase of $15.1 million compared to the second quarter, again due to the addition of the Cascade business. The third quarter non-GAAP operating expenses included $1.3 million of realized synergies in sales, general and administrative expenses slightly ahead of the $1 million Q3 expectation communicated in our last earnings call. The company recorded $1.1 million of interest expense in the third quarter on the term loan which had a balance of $146.7 million at the end of the quarter. The non-GAAP effective tax rate for the third quarter was 5.6% consistent with our expectations of continued low effective tax rate while we utilize our $300 million of U.S. based net operating losses and continue to carry valuation allowance against our deferred tax assets. GAAP net loss was $14.2 million or $0.20 per share for the third quarter compared to GAAP net income of $36.9 million or $0.61 per fully diluted share for Q2. As a reminder, the second quarter included a net benefit of $33.2 million for acquisition related transactions or $0.55 for fully diluted share including a onetime tax benefit of $43.9 million for the partial release of the valuation allowance on our deferred tax assets. Third quarter non-GAAP net income was $15.9 million or $0.22 per fully diluted share compared to $8 million or $0.13 per fully diluted share for Q2. Fully diluted weighted-average shares outstanding increased 11.3 million shares to 71.3 million shares in Q3 and primarily to the shares issued for the purchase of Cascade Microtech. Turning to the balance sheet, excluding cash payments attributable to the acquisition of Cascade Microtech, the company generated $16 million of free cash flow in the third quarter compared to cash usage of $1.5 million in Q2. The free cash flow generation resulted from stronger operating results of the combined companies and good collections of accounts receivable. The company spent $26.2 million for acquisition related payments in the third quarter and used $4.9 million for capital expenditures in Q3. We expect annual CapEx expenditures to be in the range of $16 million to $20 million going forward. In total, cash comprised of cash, short term investments and restricted cash, ended the third quarter at $107.9 million, $10.9 million lower than Q2. As Mike mentioned, we are in the midst of companywide planning for 2017 and beyond including the assessment of our longer term synergies for our technologies and operations. At the conclusion of this process in early 2017, we will communicate our financial model. As our fiscal year ends on the last Saturday in December, the fourth quarter of this year will have 14 weeks as opposed to our usual 13 weeks. Given the timing of the additional week, we expect it will have a limited impact on revenues for the quarter that may result in up to $2.4 million of incremental expenses in the quarter. In the fourth quarter, we expect that probe card segment will experience demand mobilization to a lower level compared to Q3 from our significant microprocessor customer and the demand environment consists with our third quarter for all of their markets within the probe card segment. The systems segment demand is expected to remain steady and benefit from the continued strong order flow generated in the third quarter. As such, we expect revenues for the fourth quarter to be slightly down from the third quarter levels with our guidance in the range of $116 million to $124 million. We are forecasting the fourth quarter product mix and factory absorption to be similar to the third quarter therefore we expect FormFactor’s non-GAAP gross margin to be stable in the range of 41% to 45%. We expect to realize cost synergies in the fourth quarter of $1.3 million to $1.5 million from sales, general and administrative expenses. We will incur $1.1 million of interest cost on our debt and expect our non-GAAP effective tax rate to be 6% to 10%. We expect to realize non-GAAP fully diluted earnings in the range of $0.15 to $0.21 per share and generate $11 million to $13 million of free cash flow excluding the impact of acquisition related expenditures. Our Q4 guidance assumes consistent foreign currency rates. With that, let’s open the call to questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from Edwin Mok with Needham & Company, your line is open. Edwin, please check your mute button.
Edwin Mok: Hey, apologize guys. So first question I have is just on the cost synergy side, I think you mentioned on the prepared remarks that you have some savings this quarter and you expect $1.3 million to $1.5 million of cost synergy. Is that a quality run rate and then I think you mentioned on your prepared remarks that you guys are looking, reviewing your company wide strategy, is that just for a strategic reason or you also looking at cost when you do the report.
Mike Ludwig: Yes, let me handle the first part of that Edward. So the $1.3 million to $1.5 million is actually a quarterly synergy number. As Mike communicated in Q3, we have $1.3 million of synergies which annualizes out to $5 million and you recall we had committed to $10 million to $12 million of annual synergies in 18 to 24 months post close. So we are on our way. We are consistent with where we thought we would be at this point in time maybe even slightly ahead but the number is a quarterly number.
Mike Slessor: Edward, it’s Mike Slessor. Let me address the longer term planning, exercise (21:57). We are doing it for several reasons. First of all, both companies have a disciplined annual planning process where we put together an annual operating plan that guide stand initiatives and strategic objectives as do many of our peers. So part of the process we are undertaking is to put together combined 2017 annual plan, however we’ve also taken the opportunity to look a little further downstream at potential technology and product synergies, both from a growth perspective but also from a cost and efficiency perspective. So I think in summary, we are looking at all of these things as we go through both our 2017 planning process looking to see how we can further accelerate our growth from the combined technology and market footprint that the company now has as well as looking how we can extract additional cost synergies out of the combination and the scale.
Edwin Mok: Great. That was very helpful. Just talk about fourth quarter directionally. I remember historically cost have a strong 4Q for the system business that sounds like you guys are guiding it flat. I was just wondering why, you’re not expecting the stronger 4Q. And then on the flash side, you guys have a big jump in the third quarter and you mentioned there was some ramp up late to 3D NAND. I was wondering if that lumpish order that you satisfy in 3Q and you expect that to drawback little bit on fourth quarter or you expect to see in this $500 range.
Mike Slessor: Edward, Mike Slessor again. I’ll provide some color although I want to make it clear that we are not going to provide segment based guidance or market based guidance. We will provide revenue guidance for the whole company. On the system side, you’re absolutely correct, the x Cascade systems business, what we now refer to as our system segment, has historically had strong calendar Q4 strength and we see that happening again. In the prepared remarks, we referred to it as strong order flow. We continue to see that business meaning relatively strong, building off Q3 into Q4. It’s a buinsess that however is relatively significant but not all of our business given the overall mix that we have in building up to the 120 million midpoint revenue guidance. On the flash front, as I said in the prepared remarks, we have significantly increased our market share and our revenue in flash in the third quarter. We do expect that to continue based on current order activity and current commitments at least through the fourth quarter. But I would also like to caution people that we are still in a relatively small market share flip printing in flash, and this market share increases composed and concentrated in a relatively small number of designs, so we would expect it to be lumpy for a little while but so far so good on moving from third quarter to fourth quarter with our flash business.
Edwin Mok: Definitely doing well on that front. Last question I have (25:33) in your prepared remarks you talk a lot about the auto market potentially create a good opportunity to drive your business. How do you address the market? Does it mostly just come from the SoC or foundry logic for business or do you see other opportunities either from the system or the memory test. Can you give us some color in terms of how you address that opportunity maybe for longer term.
Mike Ludwig: Yes, we thought it would be useful to share the automotive example because it is an interesting example for us where FormFactor’s technology leadership and worldwide footprint is really allowing us to address an additional growth opportunity and some additional diversification for the overall business. The primary driver of that opportunity is inside our foundry and logic segment or foundry and logic segment products. However, there are some given the increased content of silicon, there are some memory applications as well. And those are manifesting themselves in pushing our product specifications for example to higher temperatures. So we view it as an interesting opportunity and opportunity perhaps where we have some advantages given our scale, given our quality processes, given our business continuity footprint compared to some of our competitors. And it is an area primarily concentrated in the foundry and logic today but has some potential to move certainly into the DRAM production probe card business as well as the systems business.
Edwin Mok: Great. That’s all I have. Thank you.
Operator: Thank you. And our next question comes from Craig Ellis with B. Riley. Your line is open.
Craig Ellis: It’s B. Riley. Thanks for taking the questions. I wanted to just start congratulations on the flash progress, nice to see. Going back to some of the third quarter performance, I had expected DRAM would be flat and looks like it’s down about 8% sequentially. So can you just help me with some of the puts and takes in that part of the business. And as we think about that business longer term with signs of improved DRAM pricing out there and DRAM fundamentals, it’s the business one that can get back to historical levels, the high 20s, low 30s or should we have a different intermediate term expectation for this business.
Mike Slessor: Yes, Craig, Mike Slessor here again. On DRAM we were down slightly Q3 over Q2. When you look at the overall puts and takes associated with that, primarily it really was associated with the timing of particular designs transitioning to 20 nanometer at two of the 3DRAM manufacturers. If I back up and take a broader view, we expect the DRAM to be stronger in the second half of 2016 than it was in the first of 2016. And I think that will be true in the numbers, but it’s certainly not going to be particularly stronger. Part of the reason for that is the continued unpredictability of the 20 nanometer node transition at two of the three 3DRAM manufacturers and sort of the holding back of the other DRAM manufacturer in moving to the 1X nanometer node. In our discussions with all three of these customers, that lumpiness appears to be smoothing out and with the improvement as you know in the overall and DRAM pricing market and our customer profitability, they look to be a little more I call it aggressive or moving forward with some of the node and design transitions, especially as we push into 2017. I think that probably consistent with the read through you get from some of the equipment manufacturers both on the state of 2016 capital DRAM spending and the view towards 2017.
Craig Ellis: Thanks for that. And then the follow-up is on the SoC business now foundry and logic with your largest customer, as you look at that business now, are we at a level in the guidance where that’s the ratable level going forward or should we expect to see some variability around there, shirk timing as they move to 10, 10+ and 10++ longer term?
Mike Slessor: I think a great question. So just to maybe reiterate and get everybody in the same, we are now as we said in the prepared remarks operating for our key microprocessor customer at double the 2015 demand levels. Earlier in the year as we went through this ramp that’s where we told you it would be long term, even though the second and the third quarter were significantly stronger in that doubled level. As we look out in the future that’s going to be what we are forecasting and what was sizing that business to be. However, there is certainly going to be puts and takes in any quarter associated with, again, individual design releases, but probably more importantly in the short term on the number of wafer starts associated with the 10 nanometer node. That’s obviously a significant growth opportunity for us that will ramp because that node has been a little bit on again, off again and it’s timing is one of the key variables obviously for a probe card spend for any customer, most notably our key microprocessor customer. So I’d put sort of the average demand level at this double 2015 level, we’ve constructed the Q4 guidance around that level, we’ve sized our operations around that level, however, I would caution you to expect some variability around that level as different node transitions and design transitions work their way through the system.
Craig Ellis: That’s great. Very helpful color. I will switch over to a couple for Mike. One, on the synergies, it looks like modestly ahead of plan, is that a result of just better execution pulling in some synergies that were planned for future quarter, are you actually tracking above the targeted synergies that you had laid out when you announced the deal?
Mike Ludwig: Yeah, so as we said, we had $1.3 million in the third quarter versus I think what we had communicated at the last call at $1 million. I think we got – we had some, I would say, unplanned synergies that we received with respect to some structural changes that occurred probably in sales and sales organization, so we had maybe a little bit more benefit there. But again I think we are pretty running on track with what we thought – where we thought we would be. And so if I give you again – remind people of the timing that we talked about with respect to the $10 million to $12 million, so we’ve said probably as we get through with the second quarter after close, we should be running somewhere around $1 million, once we get through the fourth quarter post-close, we should be running somewhere around $2 million a quarter and as we exit around the sixth quarter post close, we should be running around $3 million or about $12 million annualized. And so even though we're running maybe slightly ahead of what we communicated at our last call, I don't think we've seen enough to suggest that we're going to accelerate the timing of our expectation of the synergies.
Craig Ellis: Thank you. And then the last one for me before I hop back in. Helpful to get the repayment schedule on the deal that – in the supplements on the website, the question is to what extent should we look at that as kind of a hard and fast pay down schedule or something just more guideline for which you would have flexibility to go much faster or slower than what shown?
Mike Ludwig: Yeah, those are the contractual terms. I think from our perspective, we see that we will be generating good cash flow and as we do that we will accelerate the pay down that debt, I think, pretty quickly, right. So I think we will use the majority of free cash flows that we generate to pay down that debt.
Craig Ellis: Thanks, guys.
Mike Slessor: Thank you.
Operator: Thank you. Our next question comes from Patrick Ho with Stifel Nicolaus. Your line is open.
Patrick Ho: Thank you very much. First question in terms about seasonality, I know in the past you've talked about the probe card business having you being seasonally softer in both 4Q and 1Q, can you just give a little bit of color on the probe system that you acquire from Cascade Microtech? Is there any seasonality to that or is that just more timing of I guess development projects with the chipmaker itself?
Mike Slessor: Good question, Patrick. So part of the rationale for the Cascade Microtech acquisition and that's continuing to grow the FormFactor business was to diversify some of the calendar season elements we had in the business previously. If I go way back where our businesses were primarily driven by a PC refresh cycles, there was tremendous seasonality where Q4 and Q1 would be very weak and Q2 and Q3 would be very strong. As we've grown and diversified the business, that's been damped out a little bit and overall our calendar profile still has different seasonality elements in it, but the exposure to different end-market certainly PC and server is still a piece of that, well, were now also driven by mobile product launches. I mentioned the automotive piece, which is much less seasonal. In particular the systems business and the probes business we acquired from Cascade have quite different seasonal behaviors. As was note a little bit earlier, the systems business tends to be strong in the back half of the year typically Q4 strength with build through the year, so Q1 seasonally the weakest, Q4 seasonally the strongest. With the probes business as I mentioned in the prepared remarks being a Q2, Q3 strength business, although that’s primarily correlated to the key handset device timing, which happens in Q3, Q4. So in some total, I think, we’ve continued to try and add businesses both organically and inorganically that will allow us to damp some of this calendar seasonality, obviously, some of those fundamentals are still in place and you'll see a few puts and takes as I think are evidenced in Q4 guidance as we move throughout the quarters of the year.
Patrick Ho: Great. That's helpful. Maybe as a follow -up on the engineering probe systems business itself, as the industry begins to move to the development of the 7 nanometer logic node, do you see incremental opportunities in that industry shift given the complexities and challenges manufacturing those devices are likely to have, is there a potential incremental step up for that technology node transition?
Mike Slessor: There's and there is a similar step-up opportunity associated with elements like new non-volatile memory architectures like crosspoint, 3D NAND and some of that is driving the strength we see in the systems business today and, in particular, the strength we see in the high-end 300 millimeter part of our systems business. So, yes, 7 nanometer and the challenges that are going to be associated with 7 nanometer yield improvements in yield ramps are a opportunity for the systems business and an opportunity more generally for our presence in this early engineering space to complement the classical FormFactor production probe card business.
Patrick Ho: Great. And final question for me. With the DRAM industries also going through a couple of no transitions currently for both 20 nanometer and 1x nanometer now, does the company feel comfortable with its capacity on the DRAM side of things or how will you need to allocate it if the DRAM industry continues to gain momentum as we enter into 2017?
Mike Slessor: Yeah, DRAM and I agree with the fundamental directional hypothesis that the DRAM industry is going to gain some momentum as we move into and through 2017. Certainly, all our customers are behaving like this and I think there's a general consensus that that movement will occur. If you look at DRAM today for FormFactor, for example, in the third quarter as Mike Ludwig mentioned, it's 20% of our revenues. It’s an important part of our revenue and it's an important part of our technology and manufacturing footprint. But as we've grown other businesses around it and as we've grown the complementary manufacturing capability, for example, in our foundry and logic business, we’re able to move capacity around at least to a certain extent between these segment. You saw us do this in the first quarter as we had to ramp and double capacity for our significant microprocessor customer, we can pull those same knobs associated with DRAM. And so we're fairly comfortable from a capacity perspective, we’re in good shape to be able to absorb any kind of 2017 demands like we see from these levels and do it in a way that perhaps doesn't structurally add a significant amount to our fixed cost structure.
Patrick Ho: Great. Thank you very much.
Operator: Thank you. [Operator Instructions] And our next question comes from Christian Schwab with Craig-Hallum Capital. Your line is open.
Christian Schwab: Hey, great. I only have one question. When you guys look at the DRAM business and you look at customer migration at 18, 20, would you anticipate that the first half of 2017 revenue is greater than the second half of 2016?
Mike Slessor: So, Christian, Mike Slessor, again. I think given the discussion we just had with Patrick and some of the themes that we see occurring, certainly node transitions are more complete and aggressive node transition to 20 nanometer and 1x nanometer nodes that our customers are talking about right now would lead to higher DRAM probe card spend and therefore revenue for FormFactor in the first half of 2017 as compared to the second half of 2016. So I think the simple answer to your question is, yes, however, it is predicated with a bunch, yes, that those node transition need to proceed with a speed and conviction that we haven't really seen yet.
Christian Schwab: Right, right. I just -- I thought that's what you are implying earlier and I just wanted to make sure that that was the answer and understand things can always change, but perfect. I don’t have any other questions. Good quarter. Thank you.
Mike Slessor: Thank you.
Operator: Thank you. And our next question comes from Jagadish Iyer with Summit Redstone. Your line is open.
Jagadish Iyer: Yeah, thanks for taking my question. Two questions. This is for Mike Slessor. So if you look at how 2017 is shaping up, how would you characterize where could be – which segment could have a big surprise at least on the probe card side between the DRAM and the foundry and logic segment or the NAND segment and where could there be some down side that we could be missing potentially? And then I have a follow up.
Mike Slessor: Well, if we look at the overall industry, again, we look at it in terms of three segments: foundry and logic, DRAM and flash. I think we have had obviously a couple of questions and a bit of a discussion around DRAM and the potential dynamics there. I think on a year-over-year basis DRAM offers some potential for some upside, but there's a good deal of volatility around those assumptions as well. From a structural or secular standpoint, foundry and logic continues to be a business that we are investing in growing our technology portfolio, in continuing to work with the customers where we don't have a strong share position to increase our share in that business. From a surprise perspective or a downside perspective, I think given our market footprints in both foundry and logic in DRAM, we expect to be able to grow our share a little bit, but we are really going to be tracking pretty closely the overall industry spend in those two segments. Flash as we’ve discussed before, a bit of a different story, given our small share position, the initial progress that we've made here in Q3 as you saw from the results maybe that represents growth or the biggest element of volatility in our overall business. So I think when you look across the production probe card portfolio and I want to also include RF filter business that we acquired from Cascade Microtech, which we include in the foundry and logical results, the fundamental growth there continues and band proliferation and more filters pre phone is as seen that we see continuing and our planning with our customers. So I think across all of these, there's potential for a few surprises on the upside, there’s potential for some downside, but given our share footprints and our position, we feel reasonably confident that we're going to be able to continue to gain share.
Jagadish Iyer: Okay. That's great. And there’s a question for Mike Ludwig. Given how you're able to get these synergies of $1 million to $1.5 million, so I was wondering is there going to be any help on the gross margin side looking at it over the next, say, 12 months or so? Thanks.
Mike Ludwig: Yes, so what we have – the $10 million to $12 million and also then -- $10 million and $12 million annually and then the $1.3 million that we saw in the third quarter as well as the $1.3 million to $1.5 million and going forward, those numbers really are around SG&A synergies. As we’ve talked about in the past, we are going to be very careful about how we approach the operational side of this. As Mike said, we are just starting to look seriously at that, we are in the midst of that. I would say over the next 12 months, we may gain a little bit on the operation side and maybe a little bit of help in gross margin, but for the most part we're looking at the synergies really to be in OpEx and primarily focused on sales, general and administrative expenses.
Jagadish Iyer: That’s good. Excellent quarter. Thank you.
Mike Ludwig: Thanks.
Operator: Thank you. [Operator Instructions] And I'm showing no further questions. At the time, I’d like to turn the conference back to Mike Slessor for any closing remark.
Mike Slessor: Thanks again for joining us today. We're very pleased to have delivered strong results in our first quarter together as the combined FormFactor-Cascade Microtech team. As we plan and execute as one team, we are confident that our increased scale and diversification will enable us to continue to outpace industry average growth rates by efficiently executing against our expanded opportunity set. Thanks again for joining. Bye.
Operator: Ladies and gentleman, thank you for participating in today's conference. This conclude today's program. You may all disconnect. Everyone have a great day.